Operator: Ladies and gentlemen, thank you for standing by. Welcome, everyone, to the Schneider First Quarter Earnings Call. 
 [Operator Instructions]
 I will now hand the call over to Mr. Steve Bindas of Schneider. You may begin your conference. 
Steve Bindas: Thank you, operator, and good morning, everyone. Joining me on the call today are Mark Rourke, President and Chief Executive Officer; Darrell Campbell, Executive Vice President and Group President of Transportation and Logistics. 
 Earlier today, the company issued an earnings press release. This release and an investor presentation are available on the Investor Relations section of our website at schneider.com. Our call will include remarks about future expectations, forecasts, plans and prospects for Schneider. These constitute forward-looking statements for the purposes of the safe harbor provisions under applicable federal securities laws. Forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from current expectations. 
 The company urges investors to review the risks and uncertainties discussed in our SEC filings, including, but not limited to, our most recent annual report on Form 10-K and those risks identified in today's earnings release. All forward-looking statements are made as of the date of this call, and Schneider disclaims any duty to update such statements, except as required by law. 
 In addition, pursuant to Regulation G, a reconciliation of any non-GAAP financial measures referenced during today's call can be found in our earnings release and investor presentation, which includes reconciliations to the most directly comparable GAAP measures.
 Now I'd like to turn the call over to our CEO, Mark Rourke. 
Mark Rourke: Thank you, Steve, and hello, everyone. Thank you for joining the Schneider call this morning. In our opening comments, we will cover first quarter results in context with the current freight cycle, the positioning of our multimodal platform, including the ability to quickly pivot with the eventual market recovery as well as our updated 2024 full year guidance. 
 Let's start with the recap of the themes we highlighted on our last earnings call. First, we noted that in general, customers entered 2024 with a heightened sense of uncertainty, but they also have a mindset that it's not a matter of if the supply and demand conditions would recalibrate but when. Second, our internal indices suggested that as we enter the year, the full load freight down cycle surpassed 600 days below neutral, which is long by any historical standard. 
 Third, irrespective of the market, we are focused on company-specific initiatives, including cost reduction actions and asset efficiency improvements, and returning our diversified and scaled operating segments of truckload, intermodal and logistics on a path toward their long-term margin targets. All of these themes continue to be relevant as we sit here today. 
 In the first quarter, the excess capacity condition persisted. January was especially challenging with sluggish volumes and adverse winter weather, which negatively impacted a large portion of the network. We are assessing signs that market conditions are beginning to moderate. For the first time in 6 quarters, we experienced positive contract price renewal closures in the low single digits for the truckload network. While this is a promising sign, we have not seen enough to consider the market at an inflection point. 
 In the first quarter, the outcomes of pricing renewals varied across our service offerings. We achieved positive pricing and volume share gains with some large strategic customers as they prepare for the next market phase. We also renewed with certain customers at reduced volumes if retaining volume required contractual price concessions. The short term, we are prepared to place more of our capacity and other configurations, including dedicated and the spot market, if necessary. This approach positions us to quickly pivot, leveraging our scale across our multimodal platform and to be at an advantage when the market improves. 
 Next, I'd like to provide some insights specific to each of our business segments. In truckload network, revenue per truck per week in the first quarter contracted 10% year-over-year, with most of the change due to depressed rates. The majority of the year-over-year in sequential change in network truck count is centered around the owner-operator community, which highlights the financial strain that small operators are enduring through this extended down cycle. Our company truck count has been steady as we maintain flexibility to take advantage of an improved market when it materializes, even if that means a higher spot percentage in the short term. 
 In truckload dedicated revenue per truck per week was flat year-over-year and down 4% sequentially from the fourth quarter with low single-digit utilization impact primarily due to the severe weather in January. Our commercial and operational teams, along with our professional drivers are executing with purpose against the dedicated portfolio and our survey as a catalyst for growth. Dedicated will also benefit from an improving network market has improved pricing on backhaul and revenue share arrangements, enhanced margin performance while adding value back to our customer. Average dedicated truck count grew year-over-year by 773 units and 80 units sequentially from the fourth quarter. 
 Dedicated now represents 62% of truckload tractors. The pipeline remains strong, and we have successfully closed on a series of second and third quarter new business award implementations, and this gives us further confidence to continue to take action to address below contract threshold accounts. 
 Moving to the Intermodal segment. Volumes were flat year-over-year. Growth in the West, TransCon in Mexico was offset by the East, which is the most competitive region with the truck alternative. Revenue per order was down 7% compared to the first quarter a year ago. Intermodal margins improved 40 basis points sequentially from the fourth quarter, overcoming typical seasonal declines and more severe weather impacts. The intermodal network is showing modest signs of healing with new business awards being implemented in dray cost efficiency gains. Intermodal first quarter contractual renewals were largely flat compared to a year ago. I consider this favorable as last year's first quarter renewals were the most constructive of 2023. 
 However, the outcomes of the early renewal season were more volatile than is typical. Pricing and volume gains and losses were higher in their amplitude depending upon customer allocation strategies. Our fully asset-based positioning with the Union Pacific and the CSX rail partners differentiates us as we take further advantage of how well they are connected to deliver volume growth and operating efficiencies that enhance our long-term intermodal returns. 
 In addition, we are excited about the opportunity that will be created pending STB approval to allow 2 of our rail partners, the CPKC and CSX to provide a new service between Mexico and Texas to the Southeast. We are also encouraged by today's announcement that the Union Pacific will reduce transit by 2 days on the country's largest freight lane from LA to Chicago. 
 In our Logistics segment, we have observed that customers, in general, are favoring asset-based solutions. We have seen the favorability for our assets and asset-based brokerages play out in the first quarter as our overall brokerage order volumes contracted only 8% year-over-year and power-only order volumes grew each month through the quarter and year-over-year. 
 Similar to other segments, brokerage has maintained its pricing discipline or going volume to maintain accretive returns. In the quarter, January's weather impacts were not absorbed as easily in the market as carrier costing and customer spot rates surged. However, the market moderated quickly. Logistics operating margins eroded over 300 basis points compared to the first quarter a year ago, but only 10 basis points sequentially from the fourth quarter. Our Power Only offering has proved its value through both extreme up and down cycles, and we expect it to play an increasingly larger role in serving our customers' network truckload freight gains when the freight market rebounds. We can grow share of wallet with our customers and earnings to the business at highly efficient capital turns.
 Despite current market conditions, we are encouraged that margins improved each successive month of the quarter across Truckload, Intermodal and Logistics with March experiencing assemblance of seasonality and slight end-of-quarter push. Before I turn it over to Darrell to offer his financial summary insights for the first quarter and our updated guidance for full year 2024, I want to take this opportunity to recognize 5 amazing Schneider Hall of Fame Driver associates who recently surpassed a significant and extremely rare safe driver milestone. 
 I offer congratulations to John, Kurt, Daniel, Wayne and Michael for achieving 4 million safe driving miles. Everyone at Schneider is looking forward to an event being held in their honor this summer, where we will celebrate their accomplishments, commitment to safety and dedication to providing outstanding service to our customers. They are among the 92 professional driver associates who have earned safe driver awards of 1 million miles or more this year, and we are grateful for them and all the professional drivers at Schneider, who live out our core values every day. 
 Now let me turn it over to Darrell. 
Darrell Campbell: Thank you, Mark, and thanks to each of you for joining us this morning. I'll provide a financial recap of our first quarter results and give perspective on our updated 2024 guidance. You can find summaries on Pages 21 to 26 of our investor presentation included on our website. 
 Our adjusted income from operations for the first quarter was down $85 million or 74% from the prior year. Adjusted diluted earnings per share for the first quarter was $0.11 compared to $0.55 in the prior year. The first quarter of 2023 included net gains on equity investments and higher gains on equipment sales versus the current period, which represented a $0.12 aggregate headwind to earnings per share. EBITDA of $131 million, which was in line with the fourth quarter of 2023 demonstrated a level of sequential stability and reflects the asset efficiency and cost actions we continue to implement. 
 In our Asset-Based truckload segment, revenues excluding fuel surcharge for the first quarter of 2024 are flat year-over-year. Solid dedicated organic and acquisitive growth was offset by lower revenue per truck per week on volumes in our network business. Truckload earnings for the first quarter were lower on a year-over-year basis, primarily due to network price and volume pressures. 
 Lower gains on equipment sales costs related to dedicated new business start-ups and inflationary equipment-related costs. Across all business segments, we can implement mitigating actions to improve asset efficiency and manage controllable costs while executing from a position of strength to be advantaged as the market recovery builds. We continue to be disciplined in our commercial actions. Our dedicated business continues to grow due to strong account start-up activity, a robust pipeline and solid operating performance of existing accounts. The year-over-year consistency in Dedicated revenue per truck per week is indicative of the resilient nature of the dedicated portfolio. 
 In our Intermodal segment, first quarter revenues, excluding fuel surcharge, were down 7% year-over-year as a result of corresponding declines in revenue per quarter. Intermodal, earnings were down year-over-year, primarily due to lower revenue per quarter and higher MT repositioning costs, partially offset by improved dray performance. In our non-asset logistics segment, revenues for the first quarter declined 15% on a year-over-year basis, primarily due to decreased revenue per order and overall volume declines. 
 We're encouraged by the earnings improvement we have seen across all segments as the first quarter progressed, with a return of more seasonality, and we believe this is a positive indicator as we continue to navigate the current freight cycle. We expect to build on this momentum through the remainder of the year as we work to restore our long-term margin targets. We're also encouraged by the strength of our balance sheet, which allows us to remain committed to our capital allocation strategy regardless of cycle. As reflected in the $112 million of net CapEx spend for the quarter, we continue to execute on our age of fleet objectives while taking appropriate actions to improve asset efficiency. 
 We executed opportunistic share repurchases and paid nearly $17 million in dividends during the quarter, which was 5% above the same period in 2023. We continue to generate strong operating cash flow of $98 million during the quarter, and our net debt leverage stood at 0.4x. Moving now to our forward-looking comments. We remain intensively focused on executing all areas of the business, leaning heavily on those factors within our control, including commercial and revenue management discipline, managing asset efficiency and delivering on cost containment initiatives. These efforts are ongoing, and we've been successful in delivering meaningful improvements. However, these efforts only partially offset the impact due to the persistent supply and demand challenges.
 We're seeing signs that inventory destocking has largely concluded, although shippers are cautious and reluctant to begin meaningful restocking partly based on the impact of inflation and interest rates on consumer confidence including uncertainty around the timing and extent of interest rate cuts by the Federal Reserve. In addition, since we shared our previous guidance, spot rates have not improved to the degree expected, and we're experiencing varying results in contract pricing throughout the allocation season to date. 
 We're seeing positive signs across our business with dedicated on Power Only resiliency and improvements in earnings within our network businesses. While we do anticipate capacity attrition, modest demand growth in a market that moves towards balance as the year progresses, the timing of market recovery differs from what was contemplated in our previous guidance. Our current guidance reflects a return to some degree of seasonality in anticipation of modest sequential improvement in market conditions for the remainder of the year. As in all market conditions, we remain focused on controllable costs and asset efficiency actions. As we progress through the year, we anticipate improving yields in our network businesses, volume growth in Intermodal and Logistics and continued truck growth in dedicated based on visibility to our pipeline. 
 Taking our first quarter results and our revised market expectations into account, we have updated our adjusted diluted earnings per share guidance range for 2024 to $0.85 to $1, assuming a full year effective tax rate of 25%. We're also adjusting our net CapEx expectations to be in the range of $350 million to $400 million for the full year 2024. 
 With that, we'll open the call for your questions. 
Operator: [Operator Instructions] 
 Our first question comes from the line of Brian Ossenbeck from JPMorgan. 
Brian Ossenbeck: Maybe I just wanted to start off with intermodal, maybe Mark or Jim, you can talk about just the allocation season, especially on the Western side. I think that was an area you called out last quarter, there was a little more challenging you expected to get a bit more balanced there. How did that turn out? How much visibility do you have to that? And will that start to help bring some more balance through the rest of the year? 
Jim Filter: Yes, Brian. Thanks for the question. This is Jim. So we're still about 40% of the way through our allocation season. As we've gone through that, as Mark was saying, we've remained disciplined. And been able to sell into those areas where we have differentiation in our network. And in the West, we talked about it in Mark's opening. We're really excited about the fact that we have an improvement in transit time on the largest corridor. So we're going from a position where we were 24 hours behind the competing transit to now we're 24 hours faster than the competing transit. So we think we have an opportunity to continue to grow there. So we feel really good about that. 
 We've had terrific results in Mexico. And now with the additional opportunity between the CPKC and CSX to provide that service between the Southeast and Texas and Mexico, there's some great opportunities for us there. And getting back to the West, the UP expanded their capacity in the Inland Empire. And so there is nothing constricting us from growing that really important corridor. 
Mark Rourke: Yes, Brian, in the first quarter, we did see growth in the West, both TransCon regionally. And as Jim mentioned, just a real continued traction into and out of Mexico would helped us overcome some of the difficulty in the East just because of the truck alternative and that market being more sensitive to truck pricing. So -- which is a little bit of reversal a year ago. I remember we've been growing more in the East. So we've had a little bit of a renaissance with growth in the West, which is highly encouraging and continue to lean into that. 
Brian Ossenbeck: Okay. And then just maybe more broadly speaking, when you look at the guidance for the rest of the year and global competition that's out there. You've mentioned the East is pretty competitive. You've got to one other large competitor looking at basically down mid-single-digit rates for their book of business this year. How can you work through that? 
 And I guess, what are you seeing that gives you the confidence to see more seasonality and then sort of this back half recovery, even though it's a little bit later than you initially thought. Is that more on the demand side? Do you really think capacity is going to start to get squeezed out? What are your specific thoughts on that? 
Mark Rourke: Sure, sure. Obviously, it's been hard to predict in this market over the last couple of years, Brian. But as we looked at the first quarter and the continued improvement in results January through March, both from a demand standpoint and leaning in now into the allocation season and seeing some turn in pricing, not in every condition and in every place, but starting to see some positive price movement, we think is an encouraging sign. 
 And we would expect, as the consumer to date has kind of hung in there and our industrial markets as we're highly diversified between consumer and industrial markets. And what we've seen so far in April is really what's embedded in our thought process going forward for the remaining quarters. 
 So not as positive as we felt as we were coming through the latter part of last year, we were seeing, in our view, the revocations and some of the changes in capacity that we felt was starting to turn more aggressively, particularly going into what we would have expected to be a hardened insurance market. And again, I think what is happening, we're seeing a little bit more resiliency still in the capacity front, but we still expect moderate and we're seeing moderate reductions there and moderate demand improvement into some seasonality. And so it's not -- so those are really the key factors for the remaining part of the year. 
Jim Filter: And Brian, this is Jim. The other factor is we're looking at the East is the competing rail service. there's a potential for some disruption as they will be reworking potentially their network, and that's something that we experienced with the CSX a number of years ago. It was a challenge for us. And so there's a potential coming up here in the remainder of the year that we could see some disruption on that computing service. 
Mark Rourke: Yes. Feeling some real momentum in Intermodal in total. 
Brian Ossenbeck: And sorry, just to clarify the low single-digit contract renewal you mentioned earlier. Was that for Truckload? Is that just for the current wave of contracts, maybe you can put a little more content... 
Mark Rourke: The truckload, it was referencing truck network. 
Operator: Our next question comes from the line of Ravi Shanker from Morgan Stanley. 
Ravi Shanker: I think the commentary on recent contract rate increase was pretty encouraging. Can you impact that a little bit more? Is that for customers who just had the easiest comp? Do you feel like that's sustainable, how are some of those increased conversations going down with customers? 
Mark Rourke: Yes, Ravi, the comment about easy comps. I think easier comps are kind of later in the year. This -- as we referenced in our opening comments, both in our intermodal and truck network that most constructive allocation season a year ago was the first quarter. And so also in my comments, I indicated strategic customers who are anticipating where they're going next in the marketplace are looking, I think, to value incumbency more and also asset-based solutions more. 
 And I think that's more of a consistent theme that we're hearing through the allocation season but it's not everybody. And for those that want to continue to press in a different direction, then we have to make sure that we're doing the right thing for our shareholders and our business. And if necessary, we'll also reduce volume and look for other alternatives there. So -- but I agree with you, it is a good encouraging sign and a momentum that we intend to build on as we go through the remainder of the season. 
Ravi Shanker: Got it. And just a follow-up on what you said about your customers preferring asset-based carriers someone with a pretty large logistics operation as well, kind of -- is that a consistent trend you're seeing because we are starting to hear of maybe shippers moving more towards asset-light opportunities as potentially a reason why rates are being suppressed for a while, kind of do you see a swing back towards asset-based? 
Mark Rourke: Well, I base my comments and assessment on just customer conversations and behaviors. And I do think we are advantaged when we have a multimodal platform the way we do and certainly Power Only in our brokerage business that integrates well with our trailer pool offering on the asset side for a customer, we work hard to make that incredibly seamless. 
 And so I think the combination of how we go to market and our portfolio as it relates to brokerage with that Power Only offering, I think, gives us advantage, and we're seeing it in volumes growing even year-over-year across that segment and showing its resiliency whether the market is up or whether the market is down. 
Operator: Our next question comes from the line of Jason Seidl from TD Cowen. 
Jason Seidl: I wanted to start on intermodal. I mean, clearly, there's a lot going on with improved service, whether it's coming from the west or coming cross-border. I was wondering, as we look out into the future, do you think that, that could actually maybe push that intermodal growth rate sort of beyond what we've seen in the past? 
Mark Rourke: Great. Thanks for the question, Jason. Jim? 
Jim Filter: Yes. This is Jim. Absolutely. I agree with you that it creates a differentiation for us that, in addition to service that customers in the past looked at reliability and service is a reason why they expected a discount savings for using intermodal as you reduce that transit difference, it's more reliable as well as sustainability. It starts to change that.
 And there are customers that we have today that are already looking at this and they no longer expect a discount for intermodal, given the service that it's already at and the sustainability improvement. And we expect as you go further, there's more customers that'll put more weight towards sustainability. 
Jason Seidl: So as we look out and if we just assume that truckload rates recover, so you're going to have that spread narrow between intermodal and truckload as well as service improve. Should we just expect that they're going to be stronger growth rates at least on the volume side for Intermodal? 
Jim Filter: Yes. So we'd expect that Intermodal would grow faster than over the road transportation. 
Mark Rourke: So, Jason, we also have more tools in our toolbox here with the performance in Mexico. And again, we had some STB approval on some other lanes and now we're getting a chance to fully exercise after a year with our UP partner in the West and not going through a change this year like we were going through last year, all of those I think we're just in a more stable condition in customers like stability when it comes to intermodal. 
Jason Seidl: That makes sense. My other follow-up is just sort of trying to get a clarification on your guidance. So what do you have built in for equipment sales in the back half of the year? 
Darrell Campbell: Yes. So for equipment sales, if you recall, when we gave our guidance for the fourth quarter, we said that we expected some headwinds as it relates to gain on sale of equipment. So we are essentially assuming flat or 0 gain on sale, which was a $30 million headwind. So what we saw as we progressed through the first quarter, is that proceeds were stronger primarily based on the mix of what we're selling, but also as it relates to the trailer pool, we saw unit price improvements versus what we initially thought. 
 But as we go through the year, the expectation is that that's going to moderate. So some of the gains that we saw in the first quarter would not be expected to continue. So we're more in line with what we had initially guided to a few months ago. 
Jason Seidl: So pretty much flat in the back half of the year right now. 
Mark Rourke: Yes. Very little gain. yes. 
Operator: Our next question comes from the of Ken Hoexter from Bank of America. 
Ken Hoexter: Mark, you're definitely a little surprised by the positive backdrop, given what we've heard from some others. So I just want to interpret that a little bit. It sounds like maybe seeing a little bit more of a turn in Intermodal, Darrell has been pretty positive on the comments here. You answered Ravi, on the contract market, which was up a little bit. I guess I'm still trying to figure out if that was just because contracts were underwater or if that's real strength? Because then in your commentary, you threw in we've also moved more business to spot. So maybe just parse that out a little bit or follow up with some more thoughts. 
Mark Rourke: Yes. Ken, thanks for the opportunity to clarify it. Certainly, we're not calling an inflection in the market. What we really highlighted there is the discipline relative to how we're looking at through allocation season and the alignment we have with customers that value incumbency, value what we provide and looking in those cases to be recognized for that and our commitments are reflective.
 If folks are not in that camp, and then that's what goes more to spot or more in the dedicated that are looking to extract more from a marketplace that we don't think is sustainable. And so in those cases, we might lower our commitments and lower our volume with those customers. And so in the first quarter, in aggregate, that net was slightly positive in the low single digits on the contractual renewal front. So that's what I would read into it. I would read into it that we're suggesting that we're in a market inflection. But I do believe it's at least a positive sign. It's -- at minimum, it's less negative, let's put it that way. 
Ken Hoexter: Yes. And just a follow-up on Dedicated. The sequential decline in revenue per truck. I guess some peers have noted some competitive undercutting. I know you talked about a big win maybe a quarter or 2 ago. Can you talk about the market now on the dedicated side? How is it panning out? 
Mark Rourke: Yes, we would consider the dedicated market fairly stable. Again, we're highly diversified within that market, Ken, not only in the -- if we're talking retail, we're highly diversified across virtually every segment of retail from extreme value all the way up to the home improvement in big box. But we're largely and increasingly focused on our growth on the industrial side of the economy, which is more in the specialty equipment.
 And what we find there is folks that have scale, folks who have referenceability and folks that have a balance sheet to go ahead and play there, the competition is while always there, and we have good competition everywhere, we wouldn't characterize it as any more difficult than we've experienced in the last couple of years. So it's a focus. We haven't resourced the well. We're performing well and the pipeline continues to build. 
Jim Filter: This is Jim. There was no drop off in pricing. There were some weather events in Q1 that had some impact on our productivity. That was the primary driver. 
Operator: Our next question comes from the line of Tom Wadewitz from UBS. 
Thomas Wadewitz: I think -- I know you talked a fair bit about rates, and it's good to see that could hear the constructive commentary. In terms of the modeling for kind of 2Q in revenue per truck per week or in intermodal revenue per load. Would we think that's stable sequentially? Or is it down sequentially? Or I guess, I mean, your comment on contract rates, maybe you say it's actually up a little bit sequentially. But just trying to think about how to translate that into the model for 2Q. 
Mark Rourke: Yes, Tom, we don't give specific quarterly guidance on metrics or business, but I'd draw you back to improving conditions through the quarter. January through March, and really all 3 of the businesses relative to its operating metrics and ultimate performance was a pretty difficult start to the quarter and the start to the year, and a little bit of what we obviously can see here in the month of April. 
 So that is what's behind our adjusted downward guidance, but how we build what we consider a modest momentum from here, both on a capacity and demand standpoint and the fact that we've been leaning into costs, very directly for the last several quarters and getting to get to some of the benefit of our cost position, and our cost actions and give the organization great credit and doing it in a smart fashion that it doesn't impede our ability to respond when the market condition starts to turn. So what I would consider smart, constructive and sustainable leaning into cost positions across the income statement. 
Thomas Wadewitz: Okay. How do you think about -- and I know you've had a couple on this too, but just intermodal competitive dynamic does seem to have, I think, I don't know if you used the word churn, but maybe some greater movement than normal. It seems like one of the players has gotten a bit more aggressive on volume. And your outlook seems constructive, I think, in terms of seeing volume growth. 
 Just how much visibility do you have to the volume growth? And did you kind of avoid some of the greater rate pressure? Or just how do you think about the dynamic that's happening in the competitive market? 
Mark Rourke: Yes. Tom, I think I got your question, if I miss it, please come back. But what I really want to start with is how we are approaching this from a strategic standpoint, and that starts with how we've aligned relative to our underlying rail partners, which we feel really, really good about and we did that for the specific purpose based upon our asset-based model of owning our own box chassis, and largely our own company dray that we wanted to have as much distinction with our key competitors as possible. So that we could bring a different type of solution to our customers and the underlying railroads that help support that. 
 And that's only been encouraged further by the newer relationship with the CPKC, a terrific operator doing extremely well for us in Mexico and looking like us to extend reach and capability in other parts of the network, which they've announced some intentions to do that. So it's the combination of getting some maturity in what we outlined in our strategy. And ultimately, the market has to be there. And ultimately, the Intermodal business has not been immune to pricing pressures or competitive pressures. But again, I think we're poised and ready to take advantage of what's in front of us. Now we just need the market to go along with us a bit. 
Thomas Wadewitz: Do you think you have good visibility to the volume growth like you kind of have the contracts in place to get that? Or just what about the visibility on the volume side? 
Mark Rourke: Yes. We're getting close to about 40% through, so we have a little better visibility. Fulfillment rate is always the key measure there. What you're awarded and what the customer's business is as always has to be ultimately delivered to us. But yes, we have a lot -- so a lot of the year left, and we have a lot of the allocation season yet to go, but we have visibility to, like I said, roughly about 40%. 
Operator: Our next question comes from the line of Jordan Alliger from Goldman Sachs. 
Jordan Alliger: Just a quick question just on intermodal and the margins and sort of return to sort of the longer-term targets that you guys have talked about. Is it safe to say that the price dynamic has to be the key driver of that at this point relative to the volumes and perhaps productivity even that you're seeing with the rails? 
Jim Filter: Yes. This is Jim. So there's a number of actions here, first of all, staying disciplined on price as we go through the allocation. So price is a part of that, but also we're seeking to heal our network where we need to drive out some empty miles and driving out those empty miles helps us improve our asset utilization, our productivity. And you saw a little bit of that as we saw some improvement on dray. 
 And then Intermodal is no different than our other segments where we're focused on managing cost but at the same time, preserving that ability to grow. And where we're growing is going to be specifically growing into those areas where we have differentiation. And so taking those actions is what puts us on the path to hitting our long-term margins. 
Mark Rourke: So yes, it's shortly, it's a combination of our revenue actions. It's a combination of rail costing and it's a combination of our cost positions in general. So we have -- we're on the path, but we've got a ways to go coming out of where we are in the market. 
Operator: Our next question comes from the line of Bascome Majors from Susquehanna. 
Bascome Majors: I want to go back to the seasonality question. If you look historically, you typically see a pretty meaningful lift in the second quarter. It sounds like you've got confidence in that from your comments about sequential momentum in all your businesses through the first and that continuing into April. And just for the second half, it tends to be kind of sideways in the third quarter depending on the market. And then you see the typical 4Q peak seasonality.
 Is that the shape of the year contemplated in your guidance? Just any thoughts about how your seasonality might be a little different than the historical patterns would be helpful as we think about the rest of the year. 
Mark Rourke: Thanks for the question, Bascome. As we kind of step back and look at "seasonality." One of the things that was interesting for us that didn't end up holding as long in the first quarter was the weather events. When we had the weather events a year ago, those were much quicker absorbed into the marketplace with really little difference between price and carrier costing and those items. It was interesting to see in the weather patterns this year that quickly changed both spot pricing increased, carrier costing increased, which I think suggests that there has been a degree of tightening. 
 So that's in hold. Obviously, there was pricing -- spot pricing started to retract back. But at least there was a bit of a change in the marketplace. There was a change in those metrics and those dynamics. As we look towards seasonality now and seeing a little bit of a return with inventory seem to be in most of our customers relatively where they should be, we got back to some end-of-quarter projects. We got back to some end-of-quarter protection for volumes that people push out a little bit heavier at the end of the quarter. Again, not an inflection, I'm being very clear about that, not an inflection. But some of those changes and some of those more typical market practices started to return.
 And so as we think for the rest of the year, that's what we're really referencing on seasonality of moderate seasonality back to some similar behaviors, again, not inflecting. We're not suggesting that we're through the cycle completely. But that's how we're thinking about seasonality, and I would characterize it fairly typical as we would normally see it through history, which was what you suggested in your question. 
Operator: Our next question comes from the line of Daniel Imbro from Stephens. 
Daniel Imbro: I want to start on the dedicated side. Growing truck count nicely on dedicated. We may have missed it, but what does the sales pipeline look like there. And then as we think about the embedded ramp in earnings in the back half, are there start-up costs as you're winning these contracts that are weighing on the first half? Or how should we think about the profitability of dedicated as we roll through the year? 
Mark Rourke: Yes, good question. And certainly the best time for cost for dedicated is when you're just farming everything that you have and you're not starting up. So there is impact when you go through go through start-up. But we're in a pretty consistent cadence of start-up on a quarterly basis. What I outlined in my opening comments is we have site to several start-ups in the second and third quarter based upon implementation schedule.
 We laid out at the beginning part of the year that we expected to net up several hundred dedicated trucks knowing that now that we're at 6,200, 6,300 trucks, even a modest churn of 2%, 3% creates a couple of hundred units of new business that you have to grow to maintain yourself. And so those initial projections are pretty much where we see and expect the year to play out. So the pipeline is strong. We've increased our efficiency, meaning we have improved our tractor to driver ratios in Dedicated, which has helped us lower cost for new implementation. 
 We've got more efficient, so we use those tractors on some new start-ups which lowers our friction costs to get things started up. But overall, we would still very bullish, and this is across a very diversified part of the economy. We're not really concentrated in any one area. We have good distribution across both the industrial and the consumer markets. 
Daniel Imbro: That's helpful. And then as a follow-up, maybe on intermodal margin, you had revenue down sequentially. There was some disruption from weather and yet OR improved from the fourth quarter. Is that just some rail cost adjustments that flow through in the first quarter with your partners? Or what specifically drove that margin improvement despite those conditions? 
Jim Filter: Yes. This is Jim. And thanks for the question. Specifically, it's some improvements that we're sequentially healing our network and -- as well as utilization of our drivers. So when we were talking about going through the bid season been very specific of growing where we have differentiation, where we can take out empty miles. And as we're taking out empty miles, that's improving the asset utilization and productivity, and that's enabled us to have some sequential improvement in margin. 
Operator: Our next question comes from the line of Jon Chappell from Evercore ICI (sic) [ ISI ]. 
Jonathan Chappell: Mark, on the Power Only. So some real positive comments there increased each month throughout the quarter. It seems like that's been one part of the business that's held up pretty well, relatively speaking, relative to the rest of the portfolio. Yes, the logistics margin now is still in the sub-2% level. So can you help us just understand, does Power Only just provide kind of a stickier business from a volume perspective? Or is it truly higher margin? And I guess maybe in the absence of Power Only you'd be kind of bouncing around breakeven. 
Mark Rourke: Yes, let me see what I can kind of share here. First, as we generally have talked about in our brokerage business in total, we are generally 50-50, about 50% contract, 50% spot to the customer. That can toggle depending upon market into a 60-40 either direction. Under the Power Only model within there, we are even a higher percentage of contract business, so it's repetitive. It gets what we commit to through allocation events. And because we're bringing some asset component to that, the trailer, we do get a higher net revenue per order in Power Only than we do in our traditional brokerage offering. 
 And it's just exasperated presently just because of the difficulty in the competitive -- the highly competitive nature of the live/live brokerage margin -- or excuse me, market. And so Power Only is accretive to the margin performance of the business in total and even more so now in this what we consider the most difficult part of the market for our live/live brokerage offering. 
Jonathan Chappell: Okay. That helps. And then I apologize for how big picture this is, but I think it's pretty important. It feels like the capacity is still pretty stubborn across the truckload side and just hasn't accelerated to the pace necessary. And then we're also seeing some really negative commentary out of some of the biggest consumer products companies in the country or the world. So I'm just trying to understand with those 2 headwinds remaining seemingly the [indiscernible] where do you think some of the sequential improvement has come from since January consistently and even into April? 
 Is it just like things couldn't go lower and there's only one way to go from here? Are there green shoots outside of maybe the bigger picture things that we focus on that we just can't see yet. 
Mark Rourke: Yes. It's hard to have perfect vision across all of those elements, which I think has been so stubbornly difficult going through this current elongated freight cycle, Jonathan. But I do believe most customers are through the inventory destocking, right? So whatever is kind of moving through the channel. There is something that's backing it up to replenish. And so while it's not building necessarily, we don't see a lot of that condition. It does seem to be "more normal" relative to where inventory is, sales occur. 
 And then whether it's coming through the vendor inbound into DC or through our dedicated trucks from DC to store, it's steady. I would consider demand fairly steady. And certainly, we saw improvements through the quarter in the first quarter and our early view here to April. So again, always hard to predict the future. But what we're seeing would seem to be a more normalized condition. 
Jim Filter: Yes. And I think the other key aspect here is just the importance of remaining diversified. We're not tied to any one single customer that's making up a significant portion of our volume in any one of our segments, and that enables us to be successful through the cycle. 
Darrell Campbell: Yes. And I guess the only thing I would add is some of those macro factors that you did outline have led to the reduction in the guidance, right? But as we look forward, we do have some conviction based on the sequential improvement. It's not only on the pricing side, but the productivity actions and the cost actions that we've taken have helped to improve our earnings as we've gone through. 
Operator: Our final question for the day comes from Brian Ossenbeck from JPMorgan. 
Brian Ossenbeck: Another one here. Maybe just -- that's right. I just want to ask real quickly on a negative cash flow for -- Darrell, it seems like maybe this should be the low point, but you're still sticking with most of your CapEx plan. So maybe you can just walk through that. 
 And then Jim, it would be good to hear your thoughts on the dynamics in international intermodal. We've clearly seen some pretty strong growth, easy comps, but just wondering your thoughts on how that trickles down into domestic, is that channel getting more full and so therefore, we should see more transloading? Or do you think that maybe these ocean carriers are really just fine, sending more and more boxes IPI and that might be a headwind for growth. So... 
Darrell Campbell: Yes. So I guess I'll start. So just to clarify your question, negative free cash flow, right? So our operating cash flow was actually positive, almost $100 million in the cycle, which I think is very, very impressive. So the dynamic really is the CapEx. So as we kind of entered into the year, we talked about the improvements that we've made in our age of fleet targets, right, and that would continue some of those actions. We talked about the growth that we expected in dedicated and intermodal tractors will become more efficient as the quarter has come through, and that's really what's allowed us to reduce our CapEx guidance as it relates to attractive growth going forward. 
 But as Jim said, we want to make sure that as we become more and more disciplined, we're still positioning ourselves for the recovery. So we're not trying to cut CapEx that's necessary for our growth. So the dynamic really for free cash flow is the combination of lower earnings for the first quarter and our continuation on our CapEx strategy. 
Jim Filter: Yes. And this is Jim to answer the question about international intermodal. And yes, it is up on a year-over-year basis. But that's really just function of, to your point, how bad it was a year ago. So it looks more stable as does the distribution between East Coast and West Coast. So it's becoming a little bit normalized. And -- so I wouldn't really say that there's been this growth in international in terms of taking share from domestic intermodal. So it's good to see that a little bit more normalcy. 
 In terms of the ocean carriers and their position, what's still out there is disruption. There's been a lot of disruption in the world, and we're one more disruption from the ocean carriers saying, I'm going to need my boxes because I'm going to be taking longer routes and that pushes even more impact to transloading. 
Operator: Thank you, ladies and gentlemen. As you have no further questions at this time, we will conclude today's conference call. We thank you for participating, and you may now disconnect.